Operator: Good day, and welcome to the GATX 2020 Fourth Quarter Earnings Conference Call. Today's conference is being recorded.At this time, I would like to turn the conference over to the Director of Investor Relations, Shari Hellerman. Please go ahead.
Shari Hellerman : Thanks, Ryan. Good morning, everyone. And thank you for joining GATX's fourth quarter and 2020 year end earnings call. I'm joined today by Brian Kenney, President and CEO; Tom Ellman, Executive Vice President and CFO; Bob Lyons, Executive Vice President and President of Rail North America; and Gokce Tezel, Executive Vice President and President of Rail International. Please note that some of the information you'll hear during our discussion today will consist of forward-looking statements. Actual results or trends could differ materially from those statements or forecasts. For more information, please refer to the risk factors included in our release and those discussed in GATX's 2019 Form 10-K and 2020 Form 10-Q. GATX assumes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. I'll provide a quick overview of our 2020 fourth quarter and full year results, and then Brian will provide additional comments on 2020 as well as our outlook for 2021. After that, we'll open the call up for questions. Earlier today, GATX reported 2020 fourth quarter net income from continuing operations of $17.8 million or $0.50 per diluted share. This compares to 2019 fourth quarter net income from continuing operations of $42.1 million or $1.18 per diluted share. For the full year 2020, GATX reported net income from continuing operations of $150.2 million or $4.24 per diluted share. This compares to net income from continuing operations of $180.8 million or $4.97 per diluted share in 2019. The 2020 full year results include a net negative impact of $12.3 million or $0.35 per diluted share related to the elimination of a previously announced tax rate reduction in the United Kingdom. The 2019 full year results include a net deferred tax benefit of $2.8 million or $0.08 per diluted share related to an inactive tax rate reduction in Alberta, Canada. These items are detailed on Page 13 of our earnings release. In 2020, investment volume was $1.06 billion, which reflects higher year-over-year investment in Rail North America as well as our acquisition of Trifleet, the fourth largest global tank container lessor. And as noted in our earnings release, we currently expect 2021 earnings to be in the range of $4 to $4.30 per diluted share. With that, I will now turn the call over to Brian.
Brian Kenney: Okay. Thanks, Shari. Good morning, everyone. Thanks for calling in. As always, I'll give you the brief color on our recent performance but more importantly, some more detail behind the 2021 guidance. So let's go ahead and dive in here.As Shari said and as you saw in the press release, on a normalized basis and looking at continuing operations, we earned $4.59 per diluted share. You might remember that we suspended earnings guidance at the end of the first quarter of 2020, along with most others due to COVID. You might also remember we sold our American Steamship business in May. So I realize that trying to analyze our 2020 financial performance versus that original guidance that we put out last January is pretty difficult. It's also difficult for me to tell you with a high degree of accuracy what the financial impact of COVID-19 was on GATX. But I can't talk qualitatively about it and I think I need to because it's still having an impact today. So as far as that goes around North America, COVID showed its impact really in three areas. You remember that entering 2020, the North American railcar leasing market was already in a weakened position, that was due to the dramatic oversupply of railcars. But as the pandemic set in and North American railcar loadings fell to levels really beneath the bottom of what we saw in the 2008 to '10 recession, we did see a further negative impact on what were already low lease rates.So it also had a temporary chilling effect on the secondary market. It also created inefficiencies in our maintenance network due to the frequent openings and closings of our facilities in an effort to keep the employees safe. Moving to Rail International, in Europe and India, other than that secondary impact on foreign exchange rates, COVID resulted in delayed investment in both businesses and that was due to the shutdowns and delays at the railcar manufacturers. And of course, COVID had its most profound effect on our aircraft, spare engine leasing partnership with Rolls-Royce. That was obviously due to the dramatic decline in airline traffic around the world.So given that extremely negative environment, I think GATX's employees handled the challenges extraordinarily well. So for instance, we maintained our global railcar fleet utilization between 98% and 100%, depending on the jurisdiction. As an essential industry in North America, our maintenance employees showed up for work continuously from day one and helped us realize the cost savings of more fully utilizing our own network.Our International Rail businesses have resumed their growth plans. And even in RRPF, that joint venture is handling the wave of customer leaf request very efficiently, and that team is now identifying new engine investment opportunities as well.And lastly, speaking of new investments, at the end of 2020, you saw that we closed on GATX's first adjacent acquisition in memory, actually, with the purchase of Trifleet, that's the world's fourth largest tank container lessor. And that's a company that we believe GATX will bring a lot of value to in the coming years. So looking at us as we enter 2021, we have a strong balance sheet. We've got great access to capital, and we're executing our strategy of investing in the down market at attractive prices.So let's turn to that 2021 outlook. And I'll say that our guidance assumes a gradual easing of COVID as we move through the year. And despite the start of the rollout of the vaccines, that easing assumption looks pretty aggressive as we sit here today.So let me give you an example. COVID infections and secondary exposures of workers in our North American maintenance network peaked at the end of last year's at the highest levels yet. And they continue at a very high level and that obviously reduces our capacity in our own network.I'm sure you're aware the COVID lockdowns in Europe, for instance, Germany and Austria, where we're headquartered, have recently extended their restrictions. They both say they see hard times ahead. And obviously, global air travel remains about 50% of its pre-COVID levels. So while we're assuming that it gets slowly better as we move through the year, I'd say the possibility of COVID related volatility in the outlook remains high. Specifically by the segments, let's turn to Rail North America's 2021 outlook. So towards the end of the year in the fourth quarter, we're starting to see very early signs of a recovery. So examples, absolute lease rates were flat to slightly higher for the second consecutive quarter for many car types. Car loadings have steadily increased off the second quarter low we saw in 2020.In the fourth quarter, certain market segments actually showed higher quarter-over-quarter car loading compared to the fourth quarter of 2019. So despite those facts, industry oversupply continues. And although we see similar lease renewal success and probably higher absolute lease rates versus 2020, we still think renewal relates will be below expiring rates as we move through 2021. So there's also some risk of fleet utilization. The market is extremely competitive right now, and that's really due to the significantly lower utilization in our competitors' fleets. So the net effect of all that is we expect lease revenue to decline in 2021 in the range of $35 million to $45 million at Rail North America. So let's talk about net maintenance expense for a minute. I'll acknowledge that we've had difficulty in predicting it accurately recently. That's actually been a good news story as we've outperformed our expectations during the last two years by aggressively moving more work from those third party facilities into our own network and realizing the associated cost savings. So we do expect more of the same performance as we move through 2021, but the COVID related disruptions we're currently seeing are hampering those efforts. So at this point, it's a little difficult. We estimate maintenance spending will be within $10 million in either direction compared to our 2020 expense.And probably the last major factor to discuss for Rail North America is asset disposition income. As I said, secondary market begin to pick up at the beginning of the second quarter a little bit, but investor appetite and inquiries picked up late in the year. We're expecting that improvement trend to continue as we move through 2021. There's some strong demand for the assets that we are taking to market. We've also seen scrap steel prices increase significantly since the beginning of December. So we'll continue to optimize our fleet in 2021 through scrapping of the sale of railcars in the secondary market. And thus, we expect that asset disposition income overall could be up significantly in 2021, given our current fleet plan. But again, we're going to act economically as we always do. So our disposition plans could change with additional market volatility caused by COVID or other sources. So the net effect of all these factors is that we expect the negative lease revenue variance will be offset by higher disposition gains and continued cost control and that drives our expectation that 2021 segment profit at Rail North America will be essentially flat with 2020. Again, volatility in the market will determine whether it ends up, up or down. Moving to International Rail, let's start with GATX Rail Europe. As I've discussed over the last two years, the European rail market pre-COVID was extremely attractive, arguably more so than I've seen since we entered the market in the early 1990s. So we expect that favorable European market again in 2021. We've invested more into that market over the last two years. We're going to do it again in 2021. We currently anticipate adding more than 1,300 new cars at attractive rates.So we also continue to realize small renewal rate increases in the existing fleet. We expect that to continue in 2021. So that new investment, the strong performance on the existing fleet and hopefully, less of that negative exchange rate movement we saw last year, is expected to result in an increase in Rail’s Europe segment profit of at least $15 million in 2021. At Rail India, although their 2020 fleet growth was constrained by manufacturing shutdown due to COVID, the rail manufacturers have been back up and running for some time now, and we do anticipate significant growth in that Indian fleet this year. In fact, we're currently expecting to add over 1,000 cars to our fleet in 2021. So they also continue to diversify their car types, their product mix. And I think their growth is expected toincrease our segment profit in the range of $2 million to $4 million in 2021. So combined with GRE, that means expected segment profit growth for Rail International in total is expected to be as much as $20 million this year. So let's move to portfolio management. As I said earlier, the RRPF joint venture sets that partnership with Rolls-Royce was hit hard by the reduction in global air travel. And there's no forecast that we know of that foresees the full recovery of air travel in 2021. So you can expect that joint venture to be dealing with some severe impact on its customers through at least this year.We also expect lower remarketing income in 2021. You might remember, 2020 was actually a big year for remarketing RRPF but that was due to that gain we highlighted in the third quarter, that involved a large refinancing and sale of a group of aircraft spare engines. As we said, that's unlikely to reoccur.So we expect our share of 2021 profit at this JV to be down $40 million or more from last year. However, we do expect the lower segment profit at RRPF to be partially offset by spare engine investment that's made directly by GATX in 2021. So we mentioned the initial investment of this type in the earnings release, let me expand on that for a minute. The RRPF joint venture has generally been self-funding and has been that way for several years. For instance, they were able to invest over $900 million in both '18 and '19 with little support from the partners. But due to the depressed market conditions in the airline sector and the resulting extremely high funding costs for aviation related companies, RRPF is somewhat constrained in its ability to invest at the same elevated level it was pre-COVID. But as is typical in a down market, they are identifying very attractive investment opportunities.So to take advantage of these opportunities as well as be as helpful as we can to our partner who has other uses for its capital, we will invest directly in spare engine leasing transactions that we see as particularly attractive. So just in the past few days, we invested almost $120 million for a group of engines on long term release to two of the strongest airlines at very attractive prices. And we do see more opportunities for this type of investment, and we'll keep you informed on this program as we move through 2021.So the net effect on portfolio management, we have reduced profit coming from the joint venture, new income coming from our direct investment and segment profit is expected to decrease about $30 million or more in 2021. So moving on to that recent Trifleet acquisition. Now of course, we foresee the acquisition will be accretive. But in 2021, we actually expect it to be dilutive by about $0.10 per share. And that first year dilution is primarily due to the accounting treatment for purchase price hold backs and retention agreements that we structured into this transaction. And GAAP accounting requires that those payments be expensed as SG&A in 2021 if they are earned. So after 2021, we expect Trifleet to be accretive going forward.And speaking of that SG&A, we reduced that expense by about 5% in 2020, that was general expense control, lower incentive compensation expense due to our 2020 results. And moving to 2021, we anticipate an increase of over $20 million in SG&A. Now that sounds like a big increase but over half of that $20 million increase, in fact, $11 million of it comes from the increase from the addition of Trifleet. And half of that Trifleet increase is due to those transaction related expenses that I just mentioned. Again, those will not reoccur.So apart from the Trifleet increase, the remainder of the increase from 2020 in spending associated with our assumption that business gradually returns to normal and there's also increased growth related headcount and IT spending at Rail International.The last component to mention is the tax rate. It's projected to be about 1 point or so lower than in 2020, and that's due to a higher percentage of our income coming from non-US entities. So the net of all this is our expectation that net income in 2021 will be down in that $10 million to $25 million range from last year. That leads us to our guidance of $4 to $4.30 per diluted share and albeit with a lot more uncertainty than prior year's guidance. I do want to pause for a moment, as I always do, to remind you that 2021 marks our 103rd consecutive year of paying a dividend, and that's a track record that few companies can match. The GATX Board actually meets tomorrow and they will discuss our 2020 plans for the dividend. So obviously, we'll announce the decision at that time. I'd say the Board certainly understands the importance of the dividend and I think our Century Long Street is a great example of our record of success and our commitment to the shareholders.So I'll close by saying, again, GATX employees did an outstanding job in 2020, executing our plan. And I'm confident that any investments that we're making right now in these difficult markets will prove to be rewarding ones for our shareholders going forward. So with that, operator, let's please open it up to questions.
Operator: [Operator Instructions] We'll take our first question today, and that is from Allison Poliniak with Wells Fargo.
Allison Poliniak: Just turning to the overcapacity issue, it's something clearly you've been dealing with for a couple of years now. But as you look across your fleet, are you starting to at least see a little tightening in certain verticals? And if so, kind of where they would be that would give you a little bit more optimism that, that lease rate could maybe increase a little bit more there?
Bob Lyons: There are certain pockets right now where we are seeing some increased demand and maybe some green shoots, as Brian had referenced in his opening comments. But broadly speaking, not enough to really lift overall lease rates and to provide a lot of momentum on that front. I think customers still realize the leverage is more in their favor than ours these days in terms of lease rates.And the other issue that you touched on is the manufacturing capacity. The footprint is still too large. In North America, we can still turn out too many more cars than are needed. So to the extent a customer had a sizable order, they still have the option of talking directly with one of the manufacturers and probably getting a fairly good response, and they can use that to their advantage. So we need more tightening for sure.
Allison Poliniak: And then I guess that goes in line with lease rates, some improvement sequentially. Could you maybe discuss, I would say, broadly just there is sort of your normalized lease rate that you have, and I know it's hard by car because there's so many different car types. How far offset, I guess, whatever you perceived to be normal do you feel we are today?
Bob Lyons: Still pretty substantially, if you look at kind of what we would view as our normalized rate for either tank or freight, probably in the 25%, 30% plus range normalized for tank and maybe even more on freight. That said, sequentially, third quarter to fourth quarter, we did see some nominal improvement in both tank and freight, kind of mid single digit type improvement quarter-to-quarter. So that's encouraging, it's a start.
Operator: And we'll move on to our next question, and that is from Justin Long with Stephens.
Justin Long: Maybe to build a little bit on that last question. I think for 2021, you said you expect a gradual recovery in lease rates. Could you quantify the increase that you're expecting relative to where we sit today that's baked into the guidance? And then on the remarketing in North America, I know, Brian, you said it should be up significantly. But I was wondering if you could help us with the order of magnitude there for 2021. Thanks.
Bob Lyons: So if we're looking at, first of all, the first question regarding lease rates, and we think about what's baked into the budget for 2020 -- or the forecast for 2021 that we've provided. On the LPI, we're looking at a range of negative 5% to negative 15%, somewhere in that ZIP code. The average expiring rate does come down in 2021 versus 2020. And we're expecting the average renewal rate to move up versus where we were in 2020. So the combination of those two factors will put us in that negative 5% to negative 15% range versus the negative 23.5% we experienced in 2020.If we look at remarketing, as Brian mentioned in his opening comments, we expect lease revenue to be down somewhere in the range of $35 million to $45 million. And that's a combination of the current rate environment, the utilization challenges, the full effect of all the cars that were renewed at low rates in 2020. They have a full year effect in 2021. So if you think about revenue being down in that range, remarketing would be up basically in the same range, $35 million, $40 million and as Brian mentioned in his comments, those two essentially kind of offset each other, driving relatively flat segment profit at Rail North America in 2021.
Justin Long: And one other quick one on the guidance and then I had one last question. It doesn't sound like buybacks are getting factored in, but I just wanted to ask on that as well.
Tom Ellman: As you know, we have $150 million remaining on our current authorization from the Board. We did not buy back any stock in 2020 after purchasing $150 million in 2019. We originally paused on our stock buyback because of the uncertainty around the COVID, but we decided not to resume the program when market stabilized because we anticipated investment opportunities across the market and in adjacent markets. We've discussed some of those opportunities today, including the Trifleet acquisition and the direct investment in aircraft spare engines. We continue to believe that there will be further opportunities for investment. So we'll be thoughtful about reinitiating the buyback program. So we'll kind of take that as it comes.
Justin Long: But could you clarify if that's something that's getting baked into the 2021 guidance or would any buybacks be upside to the range you gave?
Tom Ellman: So the real key there is it's definitely included in that range that the $4 to $4.30 that Brian provided. The magnitude of it is not that material.
Justin Long: And maybe to just close, Brian, a question for you on just the investment opportunities. It seems like there's a pretty sizable opportunity set out there in various different areas, and we've seen that with a couple of the announcements that you've made here recently. Where are you seeing the most attractive opportunities right now just from a valuation perspective and in terms of driving long term value for shareholders?
Brian Kenney: Yes, I think it's reflected in the two investments we recently made with direct investment in spare engines, the Trifleet acquisition. In general, Rail International is offering more investment opportunities that meet our return criteria than Rail North America right now. I think they're there in Rail North America but to a large extent, Justin, it's like beating your head against the wall, I think there are owners that want to get out of the business, but they haven't come to grips with the value of their fleet. And so we'll still work on it, but you haven't seen that stuff move. And we, as you know, are not going to overpay. So Bob and I are constantly working on this, but people aren't there yet.
Operator: We'll move on to our next question, and that is from Matt Elkott with Cowen.
Matt Elkott: Just a quick question on the guidance. The $0.10 dilution from the acquisition is reflected in your guidance, right?
Tom Ellman: That's correct.
Matt Elkott: And then my next question, maybe a follow-up on the net gains on asset dispositions, I think the number for 2020 is $41.7 million. That number, is it the same adjusted for ASC divestiture or is it different?
Tom Ellman: Well, I think if you're looking at the remarketing income component, the key thing to look at, Matt, is the Rail North America column because that's how we're comparing '20 to '21.
Brian Kenney: Yes, any gain or loss on the sale of ASC as in discontinued operations.
Tom Ellman: Yes.
Matt Elkott: But your remarketing income in 2020 must have been the lowest in at least the last five or six years. Is that correct?
Tom Ellman: That's correct, and that's a reflection of the fact that given all of the uncertainty in the marketplace and all the challenges in 2020, we were really cautious about going to market with packages. As you know, we do that quite frequently. We didn't in 2020. And even as things began to improve a little bit in the back part of the year, we were still a little bit cautious about going out to market. Keep in mind that you don't go to market and generate gains the next day. Things take time. We are in the market now with some packages, and we're seeing renewed interest, for sure, among the investor base for growing and adding assets again. So that gives us some confidence in that number coming into 2021.
Matt Elkott: And Bob and Brian as well, a bigger picture question. The number of railcars in storage has declined from, I think, 526,000 in July to just over 400,000 in January. And the manufacturing backlog is now down to below 35,000. Are you surprised that lease rates have not reacted more quickly than they did? And what do you think needs to happen? What's the number of cars and storage to go down to for lease rates to start reacting more favorably?
Bob Lyons: First of all, not surprised that it hasn't had a bigger impact on lease rates, that's still a substantial number of cars and storage. The most recent data was just over 400,000 cars, as you noted, that's 25% of the North American fleet. And you would historically see that number more in the 12% to 15% range before you'd really start to get meaningful momentum on that lease rate number or at least heading in that direction more aggressively.The orders in the fourth quarter, from our perspective, that's encouraging, just over 3,000 cars ordered, really just a handful, a couple of hundred on the tank side. So you have the backlog now down to 35,000. But again, keep in mind, the market essentially built it well in excess of replacement levels for about 10 years. So it takes some time for that to turn around.
Brian Kenney: Yes, that's also the macro view you're looking at. And the micro view is our competitors' fleets still have very low utilization. So it's one thing about cars that haven't moved in 60 or 90 days. It's another thing when your competitors' fleets, they're really trying hard to put these back to work. Ours is at 98%. It's not going to get better until you start to see utilization improve, if it can, at those fleets.
Bob Lyons: One other factor I’d mention, Matt, that gives me some optimism here coming into the year is the fact that scrap rates have moved up so sharply here in the last two months. One thing we need to have happened and we've said this for the last couple of years is that we need more cars to scrap out of the fleet. Scrap rates have finally moved and they've moved pretty sharply here in the last two months. So we're optimistic that competitors will finally start scrapping out some of that old idle equipment. We'll do the same to the extent it makes the right -- it's the right economic decision for GATX, we'll scrap some cars out, more than an ordinary course and we're hopeful that the industry does the same.
Matt Elkott: And Bob, within that 409,000 or just over 400,000 cars in storage, isn't there a certain population that shouldn't really be affecting the lease rate dynamic? Because I mean, there might be 40,000 or 50,000 or 60,000 frac sand cars that are brand new, but the headwinds are very well documented on those, and they shouldn't be affecting the rest of the fleet. And I would imagine there's a good number of outdated tank cars in that fleet that won't come back into service regardless of any type of market dynamic. I mean is there any way to gauge what the real relevant number of cars and storage is?
Bob Lyons: Well, I would agree with you, and I would say that's why I didn't say the number needs to go to zero from 25%. And if it goes to that 12% to 15% range, I think you'll see some real improvement in lease rates. There is some baseload of cars that's always going to fall into that category because of the way the calculation is done, first of all, it's cars that have not had loaded move in the last 60 days. And second of all, yes, there is some portion of that fleet that's just obsolete. It's not going to come back to work and the owners of those cars haven't come to the conclusion yet or face their day of reckoning that those cars are not going to come back, and they're not scrapping them out. So they stay in the idle count. Hopefully, with scrap rates moving up, some of that equation changes.
Tom Ellman: And Matt, if you're looking for a leading indicator, as Bob pointed out, it's really hard to call the right number on those idle cars in storage. A thing you can take a look at is the length of time to get a new car, that is still pretty short. And when that starts to lengthen that will be your indicator that for more and more of those car types, that ready alternative is not available out of anyone's fleet and that's when you'll start to see some more pronounced improvement in the lease rate.
Matt Elkott: And Bob mentioned that the order number was very low in Q4. Do you guys have any kind of a theory on that whether some of it might have been affected by all the political and pandemic uncertainty, and we may actually see opportunistic buying because pricing is still pretty low by some major assorting including your sales…
Bob Lyons: I would say, I don't think there is any political element to it. I think there's a realization that there's a lot of excess capacity in the marketplace today that some investments that people have made over the course of the last few years have not turned out the way they anticipated, which gives people pause on ordering. So I think it's more market elements that drove that number down to where it is, and we certainly were not disappointed to see the order number down where it's at.
Matt Elkott: Other people were. Thanks so much, appreciate it.
Bob Lyons: Sure. Yes, I got to take the long view, Matt, right?
Matt Elkott: That’s right.
Operator: And we'll move on to our next question, and that is from Bascome Majors with Susquehanna.
Bascome Majors: I wanted to go back to scrapping given the incremental focus on that with rates at multiyear as high, at least, for scrap steel. Do you guys have a good sense in your supply demand models of what North American railcar scrapping capacity could be if it were running full tilt? And any sense of however you measure it where we might be running relative to that?
Bob Lyons: Yes, I can't give you a number specifically in terms of -- it's probably up in the 25,000, 30,000 car range somewhere in that category. But you raised a very good point, which is just because scrap rates moved up sharply here in the last couple of months doesn't mean everybody can rush to the door and scrap cars. It takes time. They have to be staged. Oftentimes, you're cleaned, shipped to the scrappers and they have to have the capacity to deal with it. They don't get to ramp up immediately to handle that. So it will take some time for that to work its way through the system.
Bascome Majors: And perhaps the other side of high steel prices and with all the focus on scrapping and the supply response. I mean, historically, high steel prices have led to high railcar prices and by definition or higher lease rates on existing railcars. And I realize you kind of maybe tangentially addressed that earlier with the fact that lead times are still quite low at manufacturers. But are you feeling any inflation in steel prices helping you in your ability to command better lease rates or is it really just an oversupply issue and the rest of this is somewhat circular with that?
Bob Lyons: Well, there is certainly a correlation there, Bascome, but I would say we're in the very early stage of that right now. But if scrap rates continue to be as high as they are, steel prices in general continue to be high or move higher, yes, it will work its way into car costs for sure and that has to be recovered through lease rate.
Bascome Majors: Last one for me. Any thoughts on any more than normal rebalancing of the North American rail portfolio via the acquisitions or dispositions this year? Thank you.
Bob Lyons: Are you talking about the balance between tank and freight?
Bascome Majors: Either between that or even within maybe some more narrow categorizations that you guys use?
Bob Lyons: Well, there are definitely some categories of car types that we're most attracted to right now. For obvious reasons, I won't divulge what those are sitting here today on a broad call like this. But there are definitely pockets of car types that we are very attracted to, where we think there's excellent investment opportunities. And we're well positioned, very well positioned to take advantage of those, and we'll do so. But in terms of a significant change in the portfolio composition, I wouldn't look for anything on that magnitude.
Operator: And we will move on to our next question, and that is from Justin Bergner with G. Research.
Justin Bergner: I wanted to start off on the issue of your fleet size and composition in North America. You referred to your fleet plan beginning the call, it seems like the dispositions that you're anticipating could semi materially reduce the size of your North American fleet. Are you committed to keeping your North American fleet the same size or if market conditions are right for dispositions, would you consider allowing it to size down somewhat materially?
Bob Lyons: Well, having scale in the business matters. So we do pay attention to that. But in reality, we're trying to generate the best risk adjusted return we can off the portfolio, not have the most cars. I think others in the industry who have pursued that strategy have probably regretted it. So we are being, as we always will be, extremely selective about what we're buying and selling.So keep in mind, even if for example we scrapped or sold 3,000, 4,000, 5,000 cars in 2021, under our committed supply agreements we're taking delivery of 3,000 cars. And we're always in the secondary market buying cars. So the net fleet reduction would not be that substantial.
Justin Bergner: With respect to the scale issues, is it assumed that you'll lose the maintenance opportunity when you sell a car or is there the opportunity to maintain third party maintenance?
Bob Lyons: We, at this point, are not pursuing third-party maintenance. We prefer, for obvious reasons, to have our capacity available to maintain our cars.
Justin Bergner: With respect to the lease rates, it came at me a bit quick. Did you say lease rates were up sequentially mid single digit in the fourth quarter or was it low single-digit versus the third quarter?
Bob Lyons: Well, around 4%, 5%.
Justin Bergner: And then my last question relates to the direct investment opportunity. This $120 million outlay, was this actually purchasing engines from or purchasing leases from the JV and should we expect additional outlays of this size in the coming quarters or years?
Tom Ellman: So this type of investment, as alluded to in the press release and in Brian's opening comments, is attractive investment that this is the right time in the market and we'll certainly look for additional opportunities to pursue that type of investment with Rolls-Royce, the Rolls-Royce JV as the manager of that investment.
Justin Bergner: But were the cars actually sold from the JV or are you picking up sort of leases in the external market, or I don’t know if you're at your liberty to say it?
Tom Ellman: Yes, it's really a question of looking at both of those avenues.
Operator: [Operator Instructions] We'll move on to our next question, and that is from Steve O'Hara with Sidoti Capital.
Steve O'Hara: Could you talk about maybe the multiple on the Trifleet acquisition and then what types of returns are typically seen in that market, and then maybe how that compares to kind a -- I'm not as familiar with that market, but I mean, maybe you can compare it to the kind of high touch, high knowledge base needed in the railcar market versus other kind of pure cost of capital markets?
Gokce Tezel: We don't look at EBITDA multiples, especially for leasing businesses. We utilize the discount cash flow methodology to evaluate the investment opportunities. When we apply that methodology and assumptions, Trifleet acquisition generates an attractive long term returns for GATX shareholders.And then if you look at how do we compare those returns and just, let's say, compared to Rail Europe, the lease rate factors are definitely higher than our European railcar leasing business. But when we look at the risk adjusted basis, I think we'll need some more time to have first hand experience before I answer that question. But overall, our return projections suggest that returns to be comparable or slightly better than railcar leasing business in Europe. And then I think the question that you asked about what gets the return to a full service component. Trifleet does not provide directly maintenance services but it does provide services in the form of technical advice. So they do that on maintenance, repairs, they do that on asset modifications and then they also look into technical specification for new orders. So there's a highly complex fleet management that required because these 10 containers are located all around the world. There are also local as well as global regulations. So Trifleet definitely helps with compliance aspect as well. So while it's not a full service lease product, definitely technical capabilities and customer service creates a role in this business model. And then finally, lower cost of capital definitely helps, which we think will bring to the picture and accelerate this growth.
Steve O'Hara: And just moving on to -- going back to the RRPF or the engine direct investment. Can you just talk about the makeup of the engines? I know the RRPF portfolio, I think, is kind of heavily weighted to wide body passenger aircraft. And I mean, can you talk about maybe is there a different tech in terms of looking at aircraft types and passenger versus cargo, things like that within the direct investment?
Brian Kenney: Yes. So all the engines that we invested in are part of the Trent XWB Family, which power various configurations of the Airbus A350. All the engines are relatively new and they're on long term leases.
Steve O'Hara: And then can you just remind me, does the RRPF report kind of real time, or is there a delay in a quarter or something like that like some JVs?
Brian Kenney: So the RRPF JV reports on a real-time basis. But just to clarify, this investment that you just asked about is outside of the JV, but it will show up in the same segment in the portfolio management segment.
Operator: [Operator Instructions] And at this time, there are no further questions. So I'll turn the conference back over to Shari Hellerman for any closing comments.
Shari Hellerman: I'd like to thank everyone for their participation on the call today. Please reach out to me with any follow up questions. Thank you.
Operator: Thank you. This concludes today's call. Thank you for your participation. You may now disconnect.